Operator: Good day, everyone, and welcome to the Opera Limited Third Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's call is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Matt Wolfson, Head of Investor Relations. You may begin.
Matthew Wolfson: Thank you for joining us. This morning, I am joined by our CEO, Song Lin; and our CFO, Frode Jacobsen. Before I hand over the call to Song Lin, I would like to remind you that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking. Such statements are based on current expectations and assumptions that are subject to a number of risks and uncertainties. Actual results could differ materially. Please refer to the safe harbor statement in our earnings press release, as well as our annual report Form 20-F, including the risk factors. We undertake no obligation to update any forward-looking statement. During this call, we will present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in today's earnings press release, which is distributed and available to the public through our Investor Relations website located at investor.opera.com. Our comments will be on a year-over-year comparison unless otherwise stated. With that, let me turn the call over to our CEO, Song Lin, who will cover our third quarter operational highlights and strategy, and then Frode Jacobsen, who will discuss our financials and expectations for the remainder of the year. Song?
Lin Song: Sure. Thank you, Matt, and everyone else for joining us today. These are certainly exciting times for Opera and for our industry. And while it's only been 2 months since our last release, it already feels like ages ago. The product opportunities around AI that we have been advocating and preparing for over the past years are coming to fruition, and I could not be more pleased about our strategic position in this rapidly evolving landscape. And while this is playing out, we combine our strategic positioning for the future with a healthy business that continues to scale faster than we have expected. I will start with some of the big industry things that have happened since we last spoke. First, the remedies phase between the U.S. DOJ and Google came to a conclusion in which it became clear that Google can continue to compete for U.S. traffic in the same way as other players in the broader and rapidly evolving content discovery landscape. While anything else would have been quite surprising, it was good to get clarity on that. Second, the broader recognition of the web browser strategic importance continues to increase, even if the opportunities for Opera might not be fully appreciated yet. Household AI names are investing heavily to expand their reach and knowledge about the fuller context of end users with the browser being the focal point of attention. Opera's advantage in this situation is our agnostic approach to the underlying large language models that powers our browsers. We believe in an increasingly broad landscape of AI services that assist users across a multitude of areas from information gathering to making purchasing decisions to producing content and performing tasks. We believe that these services all come together in the browsing experience, in particular, on computers where most of us are spending an increasing amount of time as more products and tools are becoming web-based. And crucially, we don't believe people will install one browser for each use case or each AI services. The browser needs to work across all platforms and its approach to assist the user has to be powered by the right tool for each job. That is where Opera Neon comes in as an early stage window into how we see the future of browsers. Office browsers are not AI professional windows nor are the tools to lock users into a specific large language model. Rather, we offer the most sophisticated alternatives targeted to a growing segment of users that care about the functionality of their browser. This includes how we integrate services, manage tabs and workspaces, optimize memory and battery utilization, not to mention the design and visual customizations. We differ from others in that our specialization is the browser itself, and we use that skill set to create the best possible AI experiences. We know that people are different and the one-size-fit-all system does not work for everyone. Our flagship browser, Opera One is carefully tailored for people who want to have the richest possible browsing experience, while Opera GX and Opera AL both rethink what browsers should be for their core audiences. All the Opera browsers ship with a free and advanced LLM agnostic AI solution. Opera One was the first of our free browsers to receive the new chat functionality. Opera Neon complements this with being tailored for the most advanced and demanding users out there, those who want to participate in shaping the future of web browsing and believe AI agents will be a core part of their experience when doing so. Those of you who have experienced the early release of the Opera Neon browser have seen how we believe AI can integrate into the existing workflow in a way that people are already used to working as opposed to existing within a terminal like process remotely operated in a server form. As we evaluate our strategic position, we take pride in the exceptional quality of our products and the rapid expansion of partnership opportunities. Such partnerships, along with the efforts of multiple niche players in term of promoting browser choice, significantly increased public awareness that alternatives exist. In an environment where more users are actively considering switching browsers, we are well positioned and eager to compete for the most discerning and demanding users, offering them innovation, reliability and a truly differentiated browsing experience. And while running at full speed to seize these opportunities, we are proud to have a already healthy financial profile of growth, profitability and ability to turn capital to our shareholders. The third quarter experienced year-over-year revenue growth of 23%, as always, all organic and compared to guidance of 18% to 21% growth. Our $152 million of revenue in the third quarter was a new record. And for the first time, our annualized ARPU crossed $2 per user, growing 28% year-over-year to an annualized level of $2.13. Our revenue outperformance leads to adjusted EBITDA of $36.3 million, also above the high end of our previously issued guidance and also setting a new quarterly record. This translates to an adjusted EBITDA margin of 24%, expanding versus the first half of the year as expected and marking our 18th straight quarter as a Rule of 40 company. As Frode will detail shortly, the Q3 results and trajectory with which we enter Q4 allow us to raise our revenue guidance well beyond the Q3 overperformance. Our updated midpoint estimate now exceeds $600 million and represents 25% growth for the year as a whole. Taking a step back, our 2025 guidance has reached nearly 4x the revenue we had in 2018, the year we went public, and our CAGR over these 7 years is 21%, another feat to be proud of. Our company was recognized by Fortune Magazine this month, which named Opera in its 2025 list of the 100 fastest-growing companies based on growth in revenue, profits and scope returns. I wanted to spend the next few minutes on the launch of Opera Neon and what it tells you about how we see the future of AI-powered browsing. Currently, Neon is a premium subscription-based browser that showcases our ambition to transform web browsing. Opera Neon implements native AI assistant functionality that can step in at any point in time as we browse. As you are logged into your services in the browser, Neon acts locally on your behalf and supports you with everything from deep research to new task such as filling out forms, comparing products across sites and acting as your personal assistant with the efficiency befitting a browser veteran. The key innovation is architectural. Instead of adding chatbots to existing browsers like some of our competitors, Opera built a task-based system where AI agents operate directly in your authenticated browser session. This overcomes the limitation of cloud-based AI tools and stand-alone apps. They cannot access your logged-in account or interact with real website. Neon can because it runs locally in your browser where you have already been authenticated. Benefiting from our task architecture, Neon is also able to define the right context for a given task without the need to access or upload the entire set of OpenTabs or your browsing history to a platform in the cloud. This is putting privacy first and represents another competitive benefit of Opera's architecture. We are also tackling the complexity that hinders broader AI adoption. With so many AI services and models, users struggle to choose the right tools. As a independent player, we are introducing a new interface where Opera Neon guides users to the right group of agents for any task. And while we are on the topic of agents, one of our own agent, Opera Deep Research is already scoring better than the deep research capabilities of those AI-first platforms as we showed in our press release last week. It shows the benefit of combining the strengths of different large language models as we do not invest in the already crowded LLM landscape. Opera Neon is a product tailored for the most advanced and AI-forward users, but our mission is to expand these innovations in our mainstream products such as Opera One and Opera GX. As we evolve our monetization of AI opportunities and our industry partnerships, we will be able to facilitate an increasingly advanced experience for our total user base, that's the future that we are really excited about, and you'll see us acting rapidly on those fronts as well. While I wanted to mostly focus today on how we see the AI opportunity, there are also other highlights worth mentioning. Last time we updated you on how far along we've come with MiniPay. Since we last spoke 2 months ago, MiniPay has grown the number of noncustodial wallets to over 10.5 million, up from 9 million during our last report, while the number of transactions has increased to almost 310 million from 250 million as of this morning. We are building MiniPay with multiple use cases in mind. Building upon the power of stablecoins, it can allow immigrants working abroad to quickly and cheaply send money home. It allows the traveler who does not have access to local payment rails pay like local and can even facilitate payments to global freelancers in USD. We are a deep believer in how new technology can be used to facilitate transformation and have an exciting pipeline of partnerships and product features that we plan to launch in this space. Finally, I'm going to briefly touch on Opera GX, the browser for gamers. We ended the quarter with 33 million users, up 3% year-over-year and with a new ARPU record of $3.69 on an annualized basis. Opera GX has recently expanded its offering with exclusive in-browser gaming deals and introduced advanced features like smart home integration designed for tech enthusiasts seeking seamlessly device control. The browser also continues to enhance its AI capabilities by deploying faster, more powerful models, further improving performance and user experience for the gaming community. Lastly, GX modes allow users to personalize their browser even further, including animated courses for a highly customized and immersive experience. We are also excited about our continued sponsorship of the League of Legends World Championships currently underway. To conclude, I'm incredibly excited about our ability to innovate and take our browser offering to the next level. And at the same time, while it always feels like the future can't come fast enough, we also take pride in running a healthy business with solid revenue growth and profitability that directly benefits our shareholders through our recurring dividend program. Opera shows that it's possible to combine growth and strategic potential with healthy financials and meaningful return of capital to shareholders along the way. With that, I will now turn the call over to Frode to go into the financials in more detail.
Frode Jacobsen: Thank you, Song. We are very pleased to report that the momentum in our business continues to outperform even our most recent expectations. Our third quarter hit a new milestone by exceeding $150 million of quarterly revenue coming in at $151.9 million, and we also reached our highest ever adjusted EBITDA at $36.3 million. Both came in above the high end of our guidance ranges and both come as a result of scaling new revenue partnerships, while also expanding browser classic revenue such as search. This quarter, we introduced a slight change in our revenue categories by reporting on total query-based revenue, which largely consists of the old revenue category search, but also includes revenue generated by other user prompts where we see increasing opportunities to monetize as we scale our business. For example, if the user has a dialogue with our AI assistant Aria and follows a paid recommended link or starts typing a search query in the URL bar and elects to follow an offer recommended partner listing from the drop-down menu. As a result, the new query revenue category includes the total of our potential ways to monetize a user's intent for online discovery. Advertising revenue in comparison is more lean back on the part of the user where we serve ads and promote partners that we think the user will be interested in, but without the user explicitly querying it. Our quarterly revenue, query revenue was $55.6 million, which represented a year-over-year increase of 17%. The old search category was the predominant component at $52.4 million, which represented 13% year-over-year growth and accelerated further versus the prior quarters, as well as the other query monetization that amounted to $3.2 million and tripled versus the year ago period, which has now been carved out of the advertising revenue category. Advertising revenue, net of the query monetization, as previously described, grew 27% year-over-year to $95.9 million. By the former definition, advertising revenue would have grown 29% year-over-year to $99.1 million. Once again, e-commerce was the primary driver of our advertising revenue growth, now representing about half of our advertising revenue and setting us up well for new records in the holiday season. Q3 costs came in according to our previous directional commentary. Cost of revenue items combined reduced slightly as a percentage of revenue versus the first half of the year and amounted to 34.6% of revenue, which was within the indicated 34% to 35% range. With the strong underlying performance, we allowed marketing to expand from $34 million in Q2 to $36 million in Q3, with a continued focus on the highest ARPU potential users, though remaining in the mid-$30 million range as indicated. Similarly, we recorded cash compensation cost at the higher end of the indication, predominantly as a result of increased provisions for annual bonuses in light of our trajectory, but also reflecting the weakening of the U.S. dollar versus our main salary currencies. Taken together with the sum of all other OpEx items pre-adjusted EBITDA showing a slight sequential decline and the revenue overperformance, we were still able to exceed our range for adjusted EBITDA. Our operating cash flow was $28 million in the quarter, representing 78% of adjusted EBITDA. Free cash flow from operations came in at $21 million or 59% of adjusted EBITDA. As always, we expect continued fluctuations in cash conversion on a quarterly basis due to impacts of seasonality and operational variations. Overall, we maintain a solid financial position with cash at $119 million, no financial debt and underlying cash generation well in excess of our dividend payments. Adjusted diluted EPS was $0.30 in the quarter, representing a relatively stable margin at increased scale. Now turning to guidance. For 2025 as a whole, our trajectory and the resilience that it has shown allows us to significantly raise our expectations for the year, continuing the trend from prior quarters. We now guide revenue of $600 million to $603 million or 25% growth over 2024. This updated range starts above the prior high end of guidance as we add an additional 2 percentage points of expected full year growth. Our guidance implied a further acceleration of annual revenue growth from 20% in 2023, 21% in 2024 and now 25% at the midpoint for 2025. Similar to before, given the hockey stick growth of the second half of 2024 and Q4 in particular, we have based our guidance on sequential modeling. The raised estimates capture the Q3 overperformance and adds a further incremental expectation to our Q4 guidance, resulting in a continued increase in our sequential growth rate. As before, this results in a relatively stable trend of quarterly revenue growth measured on a 2-year CAGR, which captures the scale we have built in recent quarters, while also evening out the growth profile. In terms of adjusted EBITDA, we lift the range to become $138 million to $141 million for the year as a whole or a margin of 23% at the midpoint. This reflects a continued expectation that the percentage margin in the second half of the year will stay about 1.5 percentage points above the margin in the first half, even as the weakened U.S. dollar relative to other currencies continues to represent a headwind. Apart from such fluctuations, we see cost of revenue items stabilizing as a percentage of revenue and economies of scale continue to benefit us as an underlying trend. Cost-wise, we then implicitly guide to a full year OpEx base pre-adjusted EBITDA of $461 million at the midpoint. For the year, we expect the cost of revenue items combined to come in at about 35% of revenue following the continued growth of Opera Ads. Other cost items grow at a lower pace than our revenue and thereby reduce as a percentage of revenue relative to 2024. This includes marketing costs, which we expect to grow at high single digits from 2024 to 2025, compensation costs, which will increase just over 10% and the sum of all other OpEx items pre-adjusted EBITDA will likely remain quite stable at the 2024 level. In line with this, we guide Q4 revenue of $162 million to $165 million, representing 11% to 13% growth or a 2-year CAGR of 20% at the midpoint and Q4 adjusted EBITDA of $37.5 million to $40.5 million or a 24% margin at the midpoint. Within the implied quarterly OpEx base of $125 million at the midpoint, we expect that cost of revenue items as percentage of revenue will be similar to the third quarter at about 35%. We expect marketing costs to increase by $2 million to $3 million relative to the third quarter, and we expect cash compensation costs to remain quite stable. The sum of all other OpEx items pre-adjusted EBITDA are expected to tick up such that the second half of the year as a whole becomes comparable to the first half as a whole. All in all, we find ourselves in a great position as we enter the seasonally strongest fourth quarter, and we are excited both about our commercial opportunities, as well as the broader strategic picture. With that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions] We'll take our first question from Naved Khan with B. Riley Securities.
Naved Khan: Great. A couple of questions from me. Maybe just on -- starting with Neon, been around a month since you took it out of the closed beta and opened it. Just curious about the traction you might have seen with it in terms of people who have signed on and how is the wait list for the product and how quickly you're moving through it? And also, maybe just talk also about the go-to-market strategy for Neon, both in terms of paid media and unpaid media and how do you plan to sort of drive the awareness for the product? The other question I had is around e-commerce. Curious about how do you see the growth in this line of business kind of sort of evolve going forward, not just necessarily in Q4, but actually more in 2026. How should we think about that?
Lin Song: Yes. So, yes, it's Song here. I think I'll just first answer the Neon question and then Frode can also comment a bit on the e-commerce one. So yes, so, Naved, as also mentioned a bit on the script, very excited about the launch. Yes, more like at this point, of course, it's still invitation based because I think our philosophy that in the beginning, it is very important to have a group of founders that we want them to be closely working with us on potential features and also the direction of the products what they need among others. So, we are very excited to form this very close group that we can work with for the next months to come. And I think there will be also a key base for the future Neon programs. So, I think that's also why our intention that we make this premium invitation-based product at this point. But you're also right that I think within the next 1 or 2 months, we will also open up to the broader public and also receive even more interesting advises and also product developments. So I think that's, in general, how we see Neon. And then maybe also super quickly that I saw you also asking questions about go-to-market and then a few others. So, I guess for us, it's a bit slightly different, I guess, from some of the competitions that, of course, we are -- I think more like anything in the browser field offer is a household brand name. We have a relatively big already audience, and then we have a very mature way of marketing. So, I think for us, probably we think slightly less about a particular way of go-to-marketing, but instead of thinking of how we can engage all our existing user base and then how we can find out some of the audience, which will fit them more with Neon and how we can also position Neon together with other free offerings. So, I think that's for now how we think about it. But overall, I think Neon has been extremely well received. We saw many media coverage. We saw more than 1,000 articles and it keeps coming. And even on the surprise that even though we are still on the invitation, we saw a very good coverage. I think just today, I also saw some other medias publishing very favorable announcement of when they try Neon. The operator is by far the most efficient and the type architecture they also appreciate. So overall, quite excited about the launch, but I think this is still very early stage. We will excited even more how can we take it further.
Frode Jacobsen: And now I can chime in on the e-commerce part of the question. I think we, of course, find ourselves in a very good, nice situation where the e-commerce revenue streams have scaled extremely rapidly now over the past 18 months, still approximately doubling at a year-over-year basis this far into growth spur. The nice thing I would say is that I believe we are still under-indexing in terms of e-commerce as part of the advertising -- online advertising markets overall and perhaps for the browser in particular, which is so well suited to promote e-commerce partners.
Operator: We'll take our next question from Ron Josey with Citi.
Ronald Josey: Maybe a quick follow-up to Naved as it relates to Neon browser and adoption trends. I think Song, you mentioned on the call, it's tailored for the most advanced users. Just in this first wave, just talk to us a little bit more about the behaviors that you've seen from these users. Anything stood out, what you've learned here as you go to general market or call it, open it up to beyond just the invite list. And then on commerce specifically and not as much on the e-commerce side, but just I wanted to get your thoughts on Agentic commerce just as checkout mechanisms change as MiniPay becomes a bigger part of the business. But help us understand how you're thinking about Agentic commerce going forward.
Lin Song: Yes, it's actually -- it's something else I think I'll cover a bit. It's also some of very interesting discussions in the market there. So, first of all, just talk about Neon. I think for now, actually, it's really well to get all those user feedbacks. So I think as also mentioned about earlier that I think for now, our strategy is really -- we are not really super eager to get so many users because we do have massive amount of users using us anyway, but more important to us to form a close community and hear their feedback on Neon and in particular, Agentic browsing. So yes, we have received a very good feedback. For instance, one thing I would say stood out is that it's also in relation to what we also call out later about Agentic e-commerce, right, that I think for now, everybody feels that it is definitely the future that imagine the future that you don't really have to spend too much time on browsing, but simply ask agent to browse for you to buy books on Amazon to buy shoes among others. So, it is definitely working as of now. That's actually one of the major use cases that we saw happening on Neon that people actually use it to buy a lot of interesting content e-commerce wise. And for us, I would say what I think we stand out and what we also be proud of is the efficiency because there are some other Agentic solutions out there, you can try yourself, right, which is rather slow and sluggish. And -- but even more important on the back end is that I think many of them using -- have to rely on visual models, which are very costly that they almost cost 10x more tokens or whatever and also being slower, right? So I think what we have been extremely happy about and also what our focus is, is that how can we use capability of a browser because at the end of the day, browser have access to all the layout doom trips in a technical sense and how we can even use text to be extremely efficient to analyze all those elements and to move forward. So, I think that's so far what we have been probably received the most praised that we are able to execute those task very efficient, faster than others. And also people may not realize also that because of the past architecture, we are able to do this like we are able to execute multiple tasks as well, right, which is a better architecture than many others. So, this is what I'm really feeling proud of and user are appreciative, even though sometimes maybe some users feel that sometimes we can, of course, by design, be slightly more aggressive, partly just because we want those advanced users to influence what the agent can be doing, right? But this is actually in connection with your other question that -- I think our view is just that for now, agentic is definitely the future, everybody see it, but it's still not as efficient as a real human being, right, because it takes too long to do any transactions. However, we believe that within a shorter time frame, maybe a few months' time, hopefully less than 1 year that the ways the work like us and others, there is possibility to make sure that in certain task that agent will perform better in the browser other than the human be more efficient, and that will be the point where we will see more and more of those, I would say, agentic e-commerce coming along. And like I think also touched base on the cost part of it that -- at least for the architecture that we are using, it's actually very cost efficient without need to quote the exact numbers. I think -- for now, what we see that the cost of the agentic browsing due to e-commerce is actually very reasonable compared to the amount of the money that people will spend. And even if you compare to the commissions compared to whatever we can earn as an advertiser, it still leaves a big margin for us to be able to use agentic e-commerce to help move this forward. So, this is actually something which we also spend a lot of time on and it's very important for us. And I think in some cases, we may be 10x more efficient than our competitions, which we are quite proud. And I think this is also a major base of potential agentic e-commerce in the future. That being said, there are some other considerations that we're also closely following up. I think reason just because we are not only an agentic browser company, we are also advertisement company, as you see, that will grow very nicely of e-commerce. So, there are certain concerns, I would say, from e-commerce players that maybe some of them do not want to just be a pipe, right, that they do want to also have a better exposure of the goods and e-commerce, even in the agentic browsing scenario. So I think that's also something maybe we are a bit differentiating from others that we also take this into consideration that we also make sure that our partners do not end up as a pipe, but rather that they also end up as an interesting destination that not only agent but the audience can also have a chance to see and browse through all the different groups and perhaps have more selections. So, yes, so I think this can be too long discussions along the way, but it's definitely very interesting to see how this evolves.
Operator: We'll hear next from Eric Sheridan with Goldman Sachs.
Eric Sheridan: Maybe if I could squeeze in two, we continue to hear a fair bit around the overall macro environment and how it might be impacting digital advertising. Would love to get your sense across your array of advertisers, how you would characterize the current demand environment and how you're thinking about that environment sort of evolving in the forward forecast. That would be one. And then two, coming back to MiniPay, can you talk a little bit about how you see that building in terms of scale as we look out to 2026 and beyond? And how you think that will tie into the broader services layer of your offering in terms of driving overall ecosystem strength?
Lin Song: Sure. So yes, it's something else. So, I think I will also try to answer that, and then Frode will also chime in for many insights on the advertisement and as well, right? So okay. So, I would almost say that I think in a broader advertisement scape, there are different changes and shapes and forms, right? But I would almost say that at least in the angle where we see e-commerce, especially performance-based e-commerce, the fact that it is actually tightly related to whatever -- more like the actual purchasing. For now, we definitely see from our end that it's still on a growing path. Simple fact has been that -- at least from what we can see users are more and more buying with partners like us, and they get very good recommendations since it's also performance-based. There's less concern, I guess, from advertisers of is there enough brand richness or whatever. So I guess that's why for us, at least we are growing more than 100% year-over-year, and we see that trend definitely not slowing down, but rather continuous and very excited about it. That also fit into well with the agentic browsing scenario just because, again, it's performance-based, right? At the moment, it doesn't matter if you are a people or if you are an agent to bought something, I guess, some people are equally happy. So I think that is definitely positive. But more like -- on the other end, though, I do see that this is more like just a general feeling, right, that there are, of course, also discussions around, okay, now if the agents are doing a lot of stuff, well, let's say, traditional display advertisement or well brand or whatever still make sense and how is the best way to nail that because potentially, it's not real people, but actually agents who are doing that. I think that also posed some of the threat to some of the e-commerce players as we commented earlier that for them, of course, it's very scary if they end up at the end of the pipe, right, if they end up as only as a good delivery storage house or whatever, while all the others are taken by the other AI players if someone just directly use AI to direct a purchase or whatever, right? So, we see those things. So -- but that being said, I would say that actually put browser into a very good position because unlike at least some particular AI chat clients, we – our browser at least make sure that all the web pages and all the goods are showed up in front of people and even in front of agents for that sake so that there are enough exposures of those things, which can be immersive as well. So, I would almost say that at least we saw potentially at least benefit impact of for the browser players, while I would imagine that for some of the pure chat-based e-commerce solutions that might actually cause a issue for some of the ad players. So that's how we see it. But again, we can have longer discussions along the way. And then super quick for MiniPay. Yes, like I think, indeed, our feeling in that, of course, stablecoin is definitely going, it's definitely staying and it's growing strong. And also, it actually helps facilitate large part of payments even fit into agentic scenarios it's just because it's very naturally fit into agentic scenarios where all -- like everything can be combined. So we do have that as part of consideration. For us, I think maybe the only comment would just say that I think we will hopefully land some bigger partnership discussions and bigger cooperation with industrial players in stablecoin field in certain areas and markets to drive both adoption, but also hopefully to have even wider use cases like we commented about the local payments -- better integration with local payments, but also potentially integration with e-commerce and a few others. So, yes, so that is definitely coming. And we will -- yes, hopefully, there will be quite a lot of announcement in the next few weeks and months to come.
Operator: We'll hear next from Mark Argento with Lake Street.
Mark Argento: Just a couple of quick ones. Just turning back to advertising and the e-commerce opportunity. Could you just -- it's not still 100% clear to me what's kind of the gating factors are there in terms of the growth. Obviously, it looks like the business is growing extremely rapidly. But is it working with more e-commerce partners? Like what -- I guess, what are the mechanics there to better or to see additional growth or ultimately better understand that long-term opportunity?
Frode Jacobsen: Yes. Frode here, I can start. I think we try to focus on the leading players by region and develop deep partnerships with them, and that allows us to really do a good job on targeting. All our revenue is performance-based. So there, we certainly share the interest on doing well. And then I think just to tie it a little bit to Eric's question before, of course, the year started out quite volatile in the macro-wise picture and also around the e-commerce. And then I think that we reflected by being quite cautious in our guidance as we progressed. And then I think the nice thing that we are reporting on today as well is that we are seeing the resilience in what we are building. We are sort of seeing a stabilization around this, and we're able to grow well in our key regions, Western markets driving our growth.
Mark Argento: That's helpful. So, when you say working with partners, are those in particular, e-commerce, the bigger e-commerce players? Or is it brand specifically or both?
Frode Jacobsen: It's the big players by region, so within the U.S., within Europe and Asia.
Mark Argento: When you say players, I'm assuming you're talking about e-commerce vendors, the Amazons of the world or the Walmarts or those types of guys?
Frode Jacobsen: Exactly.
Mark Argento: Got it. That's helpful. And then in terms of more just kind of a couple of housekeeping things. Any update on OPay? I was digging around OPay, it's been a little while, I hadn't realized that the company hasn't really done any capital raising or really not a whole lot of activity, at least in the capital markets, the private capital markets since 2021. Still plans there in terms of an IPO? Is 2026 going to be the year? Any thoughts on that?
Frode Jacobsen: Yes. I think updates on OPay, the company is doing really well. It's scaling rapidly. And as you say, it's been multiple years since their last real financing round, and they are essentially then operating also a profitable business. So I think that's a very good basis. We're very pleased with the company's performance. But for details, I think I'll have to leave it to them to control what they share about their business and when. Our strategy as a founding investor and no longer being operationally involved is that over time, we will monetize our stake in OPay, and it's very natural for us to consider that in the context of the company becoming public. In terms of timeline for that, again, it's not our decision, but we always think that or we think that the company is doing well, and it's definitely moving in the right direction.
Lin Song: Yes. Maybe also I'll just comment -- maybe I'll just comment a bit that at least based on public information, right, you probably see that OPay is doing extremely well in Nigeria. It's by far the dominant players. By public information, you can also see that it is the -- very exciting to see that it is now the second most used DAUs. This is very unusual for a fintech app. So of course, very proud that we are able to incubate and support the company in early stage. But like, yes, as Frode is saying, the company is doing extremely well. It's very dominating in the area. So of course, as a shareholder, very happy to see if it's -- and will be supportive, if it's plans to also go on into further capital market-related activities, very excited.
Mark Argento: Hopefully, hear more on OPay here soon.
Operator: We'll go next to Jim Callahan with Piper Sandler.
James Callahan: And I appreciate you breaking out the sort of other query revenue. Can you just talk about contractually how this revenue works and maybe just explain a little bit more about it at a high level?
Frode Jacobsen: It shares the characteristics of search and that it's a revenue share models where we drive traffic to partners, whether it's a search engine or another partner and collect revenue share based on what the partner is then generating off that traffic. So, I think the reason we wanted to group this and create the one category is it's a much better view of our revenue mix in terms of what we monetize as a direct result of the user looking for something as opposed to the more classic lean back, as I said, advertising monetization.
James Callahan: That's helpful. I mean it seems the growth has been pretty impressive. I guess where -- like how early would you say you are in kind of monetizing that opportunity?
Frode Jacobsen: I think a lot of our strategy evolves around creating opportunities for user to essentially have a dialogue with the browser, whether it's the agent or integrating with Aria, as well as broader opportunities. So, we certainly think that both our key revenue streams, query and advertising have a great potential in terms of ability to scale as we keep executing on this.
Operator: We'll hear next from Lance Vitanza with TD Cowen.
Lance Vitanza: I have 3, if I can get them in. The first is back on Neon. And specifically, how should we think about competitive positioning there? I mean ChatGPT has Atlas, Perplexity has Comet. How does Neon stack up? And how do you expect the market to evolve in terms of how many AI browsers can the market ultimately support in your opinion?
Lin Song: Yes. Okay. So, I will take this one. So yes, so like again, very interesting discussion. So okay. So I think our belief is like this, right, that I think we also commented a bit on the script that I think our strength fundamentally is that we are not a manage model company. We are not really -- we don't really see us -- I don't think actually all the see us also as competition. I think for us, the biggest strength will be that we are horizontal instead of vertical, right? So to us, it's about how we can work with all of those guys, both on the free browsers, but also Neon to provide the end user the best experience. For instance, yes, so like use different models to -- for different scenarios. So I think that is always our best approach. And we believe that there will be so many cases that users simply would not want to be locked into one single large language model when they are doing browsing. So I think that's definitely our competitive advantage on this that we are rather neutral. In the same way that even in days when we are integrating the search, right, we are not really buying into one player. And I think agentic are even much, much more actually afraid of locked in, I would say. So I think we are in a pretty good spot on that. And then -- but then in particular, right, I think there's also many different -- for instance -- for us, it's -- we talk about -- for me, for instance, if we talk about agentic browsing part, we focus about one efficiency because we feel that it's very important that the user can get results fast. It's very important that agent can achieve whatever needed to be done more efficient than human being, right, and cost with affordable cost and the ability that we are able to utilize different large language model in different cases to facilitate that is a big help. And then I guess the other thing, maybe I'll quickly comment is also again about privacy, right? That fact that we have a past architecture and the fact that we are not locked into any single large language model helps because there will be users which don't want to everything on their browsing to be logged by a particular large language model because this is very -- like it's very different when you chat something on it and everything go browsing with on it. And so that's why we actually designed in a very careful way that it's only a particular task particular context. We will use the context to give you best advice. And even that, we don't really upload all of those to a particular large language model or to your personal account, right? So I think there are plenty of use cases, we believe that we are better solution in those scenarios. And those are a few simple examples, right? And then just also to say that not only Neon, but also what we have on Opera One and Opera GX, the free watching are actually will be comparable to also those guys, maybe accepting agentic browsers, everything else, I think we will be comparable, even more efficient. And so all of those are actually important value propositions, I think, for Opera as a whole to facilitate the AI browsing.
Lance Vitanza: Super helpful. So, then the next one is on MiniPay. Obviously, tremendous growth there in the past couple of months. Remind me, is there a plan to monetize that activity? Or is this just about capturing engagement and driving sort of user growth in the browser?
Lin Song: Yes. So just to say that MiniPay, of course, are already revenue generating. It is actually due to some of our partnerships. It is actually have sizable revenue being generated. I think the only thing just to add at this stage, we probably would like to invest all the revenue back into marketing, both for promoting itself, but also for work with our partners, which we really think is -- some of them are very industrial important to further facilitate penetration, I would say, of stablecoin and Wave 3 technology into many regions that we would like to penetrate. So like when we talk about, okay, we had that experience in the past, which is super successful. And we think maybe there's something we can replicate or even bigger opportunities. So yes, so I think that's how we see it.
Lance Vitanza: And then last one for me on GX. The user base has kind of plateaued there at 33 million. Is that a pause? Or has the product kind of matured? And we think out a year from now, should we think that the GX user base could it be notably higher at the end of next year? Or is this just 33 million is kind of where we stay? And then in that case, can we expect revenue will continue to grow in the face of a potentially flat user base?
Lin Song: Yes. So okay, I think I'll also to this one and then Frode can also follow up, right? So okay. So, first of all, I think for us, of course, as a company, we focus a bit more on revenues and a bit more potential because I think fact has been add as a browser company, you have such a big user base compared to many others that sometimes we have been more disciplined, we focus a bit more on the regions and the areas where we can earn more money. So that's one. And then also just to say that, of course, we're actually also seeing very nice growth on Opera One because of AI. So that I guess some of the users, they might actually choose Opera One instead just because AI is so successful. And of course, to us, it doesn't really make a huge -- we just want users to choose whatever they fit into, whether they choose Opera One or GX, we have no strong fit in, right? And also some choose even Opera or Neon. So like GX is actually, I would say, one of the audience which are very AI saturated. So it's natural that some of them might also go to Neon, which I think we're all extremely happy about, we have no issue on that, right? So -- so that being said, I think there's definitely still growth potential for GX. There's many interesting regions that we are wanting to go into. There are many activities that we are also planning around Neon and product launches. Also with the AI upgrade, I think it will bring GX to be also as sophisticated and maybe as Neon and others will be. So there's many things -- many interesting aspects ahead that we are very excited. So I think we still remain very positive about the GX.
Lance Vitanza: Oh and congrats on the becoming CEO. I mean, a long overdue, but it's great to see that recognition.
Operator: And with no further questions in queue at this time, I'd like to turn the floor back over to Song Lin for any additional or closing comments.
Lin Song: Yes. So okay. So like guys, thank you, everyone, for joining us today. I think as you guys see that we're very excited. We have been looking forward to sharing those updates with you on the product launches we have been seeing, but it's also good to share all those financials. And as mentioned, we will keep you posted with both even more product updates and also hopefully, even better financial releases as we continue our journey. Have a good day to you all.
Operator: Ladies and gentlemen, that will conclude today's event. Thank you for your participation. You may disconnect at this time, and have a wonderful rest of your day.